Operator: Good day everyone and welcome to today’s H&E Equipment Services Fourth Quarter 2011 Conference Call. Today’s call is being recorded. At this time, I would like to turn the call over to Mr. Kevin Inda. Please go ahead, sir. 
Kevin Inda: Thank you, Jenny, and welcome to H&E Equipment Services’ conference call to review the company’s results for the fourth quarter and year-ended December 31, 2011, which were released earlier this morning. The format for today’s call includes PowerPoint presentation, which is posted on our website at www.he-equipment.com. Please proceed to Slide 1.
 Conducting the call today will be John Engquist, President and Chief Executive Officer; and Leslie Magee, Chief Financial Officer and Secretary. Please proceed to Slide 2.
 During today’s call, we’ll refer to certain non-GAAP financial measures, and we reconcile these measures to GAAP figures in our earnings release, which is available on our website. Before we start, let me offer the cautionary note that this call contains forward-looking statements within the meaning of the federal securities laws. Statements about our beliefs and expectations and statements containing words such as may, could, believe, expect, anticipate and similar expressions constitute forward-looking statements.
 Forward-looking statements involve known and unknown risks and uncertainties which could cause actual results to differ materially from those contained in any forward-looking statement. These risk factors are included in the company’s most recent annual report on Form 10-K.
 Investors, potential investors and other listeners are urged to consider these factors carefully in evaluating the forward-looking statements and are cautioned not to place undue reliance on such forward-looking statements. The company does not undertake to publicly update or revise any forward-looking statements after the date of this conference call.
 With that stated, I’ll now turn the call over to John Engquist. 
John Engquist: Thank you, Kevin, and good morning, everyone. Welcome to H&E Equipment Services’ Fourth Quarter 2011 Earnings Call. On the call with me today is Leslie Magee, our Chief Financial Officer.
 Please proceed to Slide 3. This morning, I’ll give an overview of our fourth quarter performance, including a quick update on the specific regions we serve and current market conditions, Leslie will summarize the quarter and full year financial results. When Leslie concludes I’ll provide our thoughts on the first quarter of 2012 and then we’ll be happy to take your questions.
 Proceed to Slide 5, please. Our fourth quarter performance was exceptionally strong and we are pleased with our numbers and the momentum we have moving into 2012.
 Industry-wide performance during the fourth quarter was solid and demonstrates that the cycle is improving as more customers show confidence in the recovery. Rentals continue to grow at robust levels and this is the fifth consecutive quarter of the year-over-year rental growth in excess of 20%.
 The performance of our distribution business far exceeded our expectations in the fourth quarter, and I’ll elaborate further on those trends in a minute.
 Our exposure to high growth industrial segments continues to be beneficial to our company as demand was particularly strong in this sector. Commercial construction activity also started to show modest, but noticeable improvement during the fourth quarter.
 In terms of the numbers, let me highlight a few significant gains for the quarter. Total revenues increased 24.3% to $217 million this quarter on a year-over-year basis with all segments delivering solid increases. Once again, our rental business was robust in terms of revenue growth, rate increases and utilization.
 As I mentioned a moment ago, our distribution business was strong as we sold a number of large crawler cranes in December. We believe our strong new equipment sales were driven by a combination of pent up demand, renewed confidence in the economy and customers taking advantage of the bonus depreciation benefit.
 EBITDA improved significantly, again up 61.3% to $43.4 million and EBITDA margins increased to 20% compared to 15.4% a year ago. All of these factors resulted in a significant bottom line increase for the fourth quarter of 2011 with net income of approximately $7.9 million or $0.23 per share, compared to a net loss of approximately $2.5 million or a loss of $0.07 per share in the fourth quarter of 2010.
 Please proceed to Slide 6, the contribution from our various regions remained consistent, but I want to highlight some positive areas. First our 2 core regions, Gulf Coast and Intermountain, remain our 2 most active regions due to our exposure to the oil patch, petrochemical and mining industries.
 Demand for our equipment and services in both regions, especially with the respect to the oil patch industry are increasing dramatically, due to the price of oil and the uncertainty overseas.
 Second, our remaining regions, which are generally less industrial focused, are seeing increases in demand at levels we have not experienced in several years, in particularly the West Coast and Southeast regions.
 We believe our end users are bidding more work than they have in years, and we’re seeing a definite increase in small to medium size projects that have been scarce in the recent past. We believe these are positive indicators that we are moving into an expansion cycle.
 Proceed to Slide 7, please. It’s clear that while economic uncertainty remains, market conditions for our business continue to make measurable improvements. Demand for our equipment and services continues to increase and our industrial markets are expanding with activity. Our end users are more comfortable with the recovery and are talking about and making more capital purchases than in the recent past.
 Commercial construction and to a far lesser degree residential construction is showing signs of recovery across the country. We believe that the trends in our business and industry today are the most encouraging that our industry has seen in several years. And we feel we have reason to be very optimistic as we enter 2012.
 This time, I will turn it over to Leslie for the financial review. 
Leslie Magee: Thank you, John, and good morning. I’ll begin on Slide 9. Not to be too repetitive with John, but the fourth quarter was exceptionally strong from many perspectives. Again, this quarter our company was successful in delivering both impressive revenue growth and profitability growth.
 From a summary viewpoint, the fourth quarter, total revenues were $217 million, an increase of 24.3%, and gross profit was $56.1 million, an increase of 34.2%, in each case compared to the same period last year. All segments increased over the fourth quarter of 2010, but in large part the increases were driven by new equipment sales and equipment rentals.
 I will begin with our rental business and provide more details behind the numbers, first on a revenue basis and then I will provide some highlight on a gross profit by segment. Rental revenues were $62.6 million for the quarter, a 21.4% increase over a year ago.
 We have a larger rental fleet available for rent, and our rental fleet is also in much higher demand relative to the fourth quarter of 2010. Compared to a year ago, we’ve increased our total fleet by $51.5 million or 7.5% based on original equipment costs.
 Average time utilization based on OEC increased 530 basis points, to an average of 72.3% for the quarter. Based on units, average time utilization increased 460 basis points, 67.3% and demand was higher in all product lines. In addition, rental revenues were higher as a result of 6.5% increase in average rental rates in comparison to the fourth quarter a year ago, and the improvements have also been broad based across all product lines.
 Our dollar returns improved to 33.9% compared to 30.2% a year ago. This is a 370 basis point improvement due to the strength in both time utilization and rental pricing. New equipment sales were $86.6 million or $23.2 million or 36.7% increase over the prior year period. Keep in mind going into fourth quarter of this year; we had  concerns that the prior year’s comp may prove to be a challenging hurdle for us. This was not the case, as the demand for cranes increased substantially.
 Like John mentioned, we believe the quarter’s increase was partly due to the customers taking advantage of the year end bonus depreciation benefits and improved end user confidence. Used equipment sales were $19.7 million or $3.5 million or 21.4% increase over the fourth quarter of 2010 due to higher demand for used earthmoving equipment. Business activity in our parts and service segments improved as revenues increased 6.9% on a combined basis to $37.2 million with both segments generating increases from a year ago.
 Moving on to gross profit by segment. Total gross profit for the quarter was $56.1 million, compared to $41.8 million a year ago, an increase of 34.2% on a 24.3% increase in revenue. From a gross margin perspective, consolidated margins were 25.8%, compared to 23.9% a year ago. Expansion of our consolidated gross margin was primarily due to higher gross margins in our rental business and other revenues.
 Our rental business delivered margins of 44.5% compared to 39.2% last year. The increased margin is consistent with recent quarters, which demonstrated high demand and higher rates combined with lower depreciation and rental expense as a percentage of rental revenue.
 Margins on new equipment sales were 10%, which were down 0.5% primarily due to slightly lower crane margins as a result of the mix of the types of cranes sold. Gross margins on used equipment sales increased to 25.9% from 22.5% in the same period last year also due to the mix of equipment sold. Parts gross margins were 27% compared to 25.7% a year ago and service gross margins were 60.2% versus 62.4% a year ago.
 Similar to the third quarter, we continue to improve recovery rates relative to the same period last year in other revenue such as equipment hauling and parts freight revenue. Margins this quarter were a negative 2.2% compared to a negative 30% in the fourth quarter of last year.
 Slide 10, please. I’ll move quickly through these next few slides since we've been through the major drivers of the financial results at this point. Income from operations for the fourth quarter of 2011 was $17.7 million or an 8.1% margin compared to income from operations of $2.8 million or a 1.6% margin a year ago. The margin expansion of nearly 650 basis points comes from the improved performance of our business segments combined with operating cost leverage as our markets improved.
 Proceed to Slide 11. Our bottom line also improved significantly as net income was $7.9 million or $0.23 per share compared to a net loss of $2.5 million or a loss of $0.07 per share a year ago.
 Please move to Slide 12. EBITDA was $43.4 million or a 61.3% increase over the same period last year, outpacing our revenue growth of 24.3%. EBITDA margins were 20% compared to 15.4% in the same period a year ago, an expansion of 460 basis points.
 Next Slide 13, despite the growth in our business we basically held SG&A expenses flat compared to last year. SG&A was $38.7 million, a decrease of 300,000 or roughly 1% lower than the same period last year. As a result, SG&A declined as a percentage of revenue to 17.8% this quarter compared to 22.4% a year ago.
 Slide 14 and 15 include our rental fleet statistics, during the fourth quarter, we increased the size of our rental fleet by $10.5 million based on our original equipment cost. Our gross fleet capital expenditures for the quarter were $37.2 million, including non-cash transfers from inventory. Net rental fleet capital expenditures were $21.4 million, for the quarter gross PP&E CapEx was $6.4 million and net was $5.9 million.
 Our average fleet age at the end of December was 43.3 months. Our fleet based on original equipment cost at the end of the year was $736.6 million versus $685.1 million at the end of 2010.
 On Slide 16, you will find information regarding our current capital structure and credit statistics. We’re pleased to announce an amendment charging [ph] your credit facility, this amended agreement remains a $320 million ABL facility.
 This amendment extends the maturity into 2017, subject to an extension of our re-financing of our notes -- I'm sorry subject to an extension or refinancing of our notes. The other principal changes relate to our leverage-based pricing grid.
 With the revised pricing our interest cost will decrease by 50 basis points. Also our new commitment fee is now based on the usage grids providing for our fee either 50 or 37.5 basis points compared to a fixed 50 basis point fee under the previous agreement.
 There were no changes to our covenants or springing liquidity limitations. We believe our amended ABL facility supports the future growth of our company and we appreciate the long-term relationships with our lenders.
 At the end of the year our outstanding balance under the ABL was $16.1 million. This left us with $297 million of availability at year end under the $320 million ABL facility.
 Slide 17, please. Let me briefly review our full-year 2011 results. To summarize, business conditions improved sequentially throughout the year resulting in total revenues of $720.6 million, a 25.5% increase in revenue, a 41.8% increase in gross profit and a 3% expansion in gross margin.
 Based on demand we’ve invested in our rental fleet and increased the size by $52 million or 7.5%, $737 million in total OEC. While growing our fleet we approached periods of near historical peak physical utilization levels in the latter half of the year and we raised rental rates 5.2% on average for the full year.
 Our income from operations increased to $40.1 million on a 5.6% operating margin compared to a loss from operations of $11.9 million on a negative 2.1% margin. Our net income increased substantially to $8.9 million or $0.26 per diluted share in 2011 versus the loss of $25.5 million or $0.73 per diluted share in 2010.
 EBITDA increased $59.3 million to $140.3 million on a margin of 19.5% compared to $81 million on a margin of 14.1% a year ago. We can summarize 2011 with a few key points, improved market conditions, solid execution by our employees, significant operating leverage and cost control.
 Just as important that we finished the year with momentum headed into 2012, which I will let John elaborate on at this point before opening the call to questions. 
John Engquist: Thank you, Leslie. Let me just conclude by stating that our fourth quarter performance was outstanding and I applaud the efforts of our employees. We believe, we are successfully leveraging our business strategy and the cycle improvements seen so far to generate significantly improved results.
 As we entered 2012, the momentum in our business continues but it’s important to note the first quarter is always the most challenging of the year due to normal seasonality in our markets.
 With that said, we expect strong year-over-year improvement in the first quarter. We also plan to further grow our fleet in 2012. We stated in the past, our fleet planning is dynamic and can be scaled back or stepped up depending on demand.
 We believe our position in market is strong and we are very well poised to benefit from increased demand in our markets. Further the strength in our balance sheet provides us with the flexibility to take advantage of expansion opportunities that may arise as we move into 2012.
 At this time, we’d like to take your questions. Operator, please provide instructions. 
Operator: [Operator Instructions] And we will go first to Henry Kirn with UBS. 
Henry Kirn: Is distribution trending higher than your expectations, again, in the first quarter or should we look for a little steeper drop from the accelerated depreciation pull forward? 
John Engquist: Yes. Look, Henry, there’s no question the fourth quarter was exceptionally strong, particularly December. I think we sold $52 million worth of cranes in December, which is an exceedingly high number. Part of that is I think is pulling sales forward due to the bonus depreciation. I think some of it's pent-up demand. The crawler crane markets have been very soft and we sold a number of big crawler cranes. And I think some of it's confidence in the economy. But there is no question that I would not use the fourth quarter as a run rate. I think some of that is pull forward. 
Henry Kirn: That’s helpful. And then, right now, are there any product shortages on the distribution side of the business, either in cranes or earthmoving [ph]. 
John Engquist: Yes. I mean, lead times are getting pushed out by most of our manufacturers, probably on average right now from 4 to 6 months. So there’s no question that lead times are getting extended. 
Henry Kirn: And then, one final one, if I could, on CapEx. Where would you like the fleet to be over the next few quarters and where do you see opportunities to go out and expand the fleet? 
John Engquist: Well, Henry, we’re going to grow our fleet in 2012, no question about it. As I stated, our fleet planning is very dynamic. We try and make short-term decisions or shorter time decisions as we can. You can certainly expect capital spending on our fleet equal to what we did last year and based on demand, it could be a little more than that, so. 
Operator: And we’ll go next to Seth Weber with RBC Capital Markets. 
Seth Weber: I guess sticking on the crane theme for a second. I was a little confused by the sale, the distribution margin being down related to mix. I mean, I would think that the crawlers would be higher margin for you, is that not the right way to think about it? 
John Engquist: Just opposite, Seth. Crawlers are real high dollars, but they’re significantly lower margin. We just have a lot less discount on the big crawlers than we do the hydraulic side. So, it’s just opposite, crawlers carry a lower margin. 
Seth Weber: Okay, that’s helpful. And are they going to -- primarily to the energy patch, or are they going to other rentals or... 
John Engquist: Yes, it’s heavily weighted to energy and the infrastructure projects but, yes, heavily weighted to energy. 
Seth Weber: Okay. And then on the rental business, are your crane rental rates up year-over-year? 
John Engquist: They are, yes. Leslie, you can... 
Leslie Magee: Sure, just hang on. 
John Engquist: Yes, they are up. All of our rates are up year-over-year. 
Seth Weber: Okay. And then I guess just flipping over to the rental business broadly. I mean, we’re 2 months into the first quarter here. Can you give us any more color on what the first quarter is looking like? Whether -- I mean, your rate comp is actually still fairly manageable because last year was still a negative number. So should we expect the same kind of rate increase here year-over-year that we saw in the fourth quarter again in the first quarter? 
John Engquist: Yes, look our utilization levels are very strong right now. I think, looking at utilization, yesterday, we were like 71.5% of our OEC was on rent. January rates were up 8% year-over-year. February rates were up 10% year-over-year. And we saw a sequential increase from January to February of 1.5%. So, we’re in a very positive environment for pushing rates, as our competitors are. 
Seth Weber: Sounds like you anticipated my question there, John. Leslie, I guess, just any color on what tax rate we should use for 2012? 
Leslie Magee: Not specifically, I would just point to, the next couple of years we’ll still be using our NOLs. And that will generate somewhat of a benefit related to some permanent differences there. So, I would just expect that in the next couple of years. 
Seth Weber: Okay. And if 2011 came in, 26%, 27% is that? 
Leslie Magee: It’s all a function of, to some degree, the denominator, the PPT so it’s going to fluctuate based on, there’s a whole lot of dynamics there, moving pieces, but some benefit in the next few years. 
Operator: And we will go next to Neil Frohnapple with Northcoast Research. 
Neil Frohnapple: Just on the equipment rental, can you just give us your general thoughts on how you think the industry consolidation will impact you guys, particularly with regard to rates? 
John Engquist: I mean, I think it’s a very positive development for the sector. And I think it’s a positive development for us. I mean they’re creating an entity there of the size that I think can truly move the needle on rates. And from what we are seeing right now, both United and RSC are being disciplined and they’re pushing rates hard. So I think it’s very positive for our sector and I think it’s positive for us. 
Neil Frohnapple: All right. Great. And have you seen some of your previous rental customers begin to purchase new equipment now with improved confidence in the construction recovery that could begin to moderate the growth rates in equipment rental and maybe accelerate the growth rates in your distribution business? 
John Engquist: Yes, I do. I think that confidence in the economy is a huge factor when it comes to our end users making capital purchases. And typically when we come out of a recession and start to turn up early in the cycle, people tend to rent over purchasing. As they gain confidence, they tend to return to their historical patterns of owning and renting equipment.  I think there’s been a secular shift to rentals here because of the depth and the severity of this recession. I think some of it will stick, but all of our end users own a certain amount of equipment, all of them rent a certain amount and I think that will continue. But, obviously, we’re seeing some increase in demand due to confidence in the economy. 
Operator: And we’ll go next to Joe Box with KeyBanc Capital Markets. 
Joe Box: Just wanted to follow up real quick on Neil’s consolidation question. I guess with the combination of URI and RRR, can you maybe just talk to your strategy to garner share just from natural customer attrition? And maybe just talk to the opportunities that you’re seeing currently? 
John Engquist: Well, I think obviously there will be customer attrition. I think that will benefit us and other rental competitors. Beyond that, obviously, they’ve stated they’re going to take a tremendous amount of cost down of the combined operation, something north of $200 million. That’s going to be accomplished through facility closures and headcount reductions. And obviously that potentially will create some opportunities for us and other rental companies. And we’ll watch for those opportunities closely. 
Joe Box: Do you also see an opportunity to either pick up sales guys or potentially even some facilities? 
John Engquist: Absolutely, all of the above. 
Joe Box: Okay. I just want to drill into the new equipment sales a little bit more. If you look over the last couple of years, new equipment sales has fluctuated by about 30% to 40% in 1Q from 4Q. Given you guys are about 2 months into the quarter, do you think that we’re looking at a decline in line with this order of magnitude for 1Q or could we maybe be looking at a stabilization, more similar to what we’ve seen kind of in the '06 to '07 timeframe? 
John Engquist: My expectation is that seasonality will run pretty true to form in the first quarter. I mean, I think I would expect us to show year-over-year improvement. But both on the rental side and on the sales side, I think normal seasonality will apply. 
Joe Box: Leslie, a few quick questions for you on SG&A. Number one, how much did you benefit from lower legal and professional fees in the quarter? And number two, is it reasonable to think that SG&A as a percent of sales could kind of moderate down to that high-teen percentage in 2012? 
Leslie Magee: Right, I believe the benefit in the fourth quarter related to lower professional fees was close to, I’m going to say is, about $0.5 million. And as far as the percentage of revenues, I would say that, that was definitely a top-line issue in the fourth quarter and that to the lower teens going forward into 2012 is maybe not a good run rate.  We’re certainly going to increase -- we are expecting to increase our head count some into 2012 because we feel like we’re operating at a pretty lean rate as it relates to our head count.  So, we’ll increase our head count some in 2012 and we’ll see some increases there in SG&A, mostly related to people cost. And we’ll see some increases there. So I’m not sure that on a quarter-to-quarter basis that, that high, mid-teen is necessarily a good run rate. 
Joe Box: Do you think then in total for 2012, it’s fair to see that percent of sales kind of pull in from where it was in 2011, but maybe not to the order of magnitude that we saw this quarter? 
John Engquist: Yes. 
Leslie Magee: Yes, I think… 
John Engquist: That’s reasonable, yes. 
Leslie Magee: Yes. 
Joe Box: Right. Last question then for you on the parts and service business. Obviously, you guys are seeing some growth there, but it doesn’t seem to have recovered as much as some of your other businesses. How should we think about the typical cadence over the course of this cycle of recovery in parts and service? Is this something that we might have to wait, to see maybe more of a meaningful recovery in non-res construction or is maybe there’s something different with this cycle relative to the last cycle? 
John Engquist: I think probably the biggest issue we’ve had is the softness in the crawler crane markets. Utilization levels on crawler cranes have been weak. And we had the oil spill, which had a significant impact to us in 2011. We’re over that now.  But crawler crane demand and -- you see that in Manitowoc’s reporting and on their call, crawler crane demand is still relatively soft. And we’re not seeing the level of major rebuild activity that we have in the past.  We think that’s going to come back. I am not exactly sure of the timing on it, but that is a very substantial driver of our parts and service business. 
Operator: [Operator Instructions] And we will go next to Joe Mondillo with Sidoti & Company. 
Joseph Mondillo: First question, just sort of to tag on to that question from fourth quarter to 1Q trending. Last year, we saw some pretty tough weather conditions. This year, we’re seeing record mild type conditions. Is that benefiting your business at all this year, in the first quarter here? 
John Engquist: Yes, I think it is. The winter has been relatively mild. And I think everyone's had some benefit from that. It’s hard to quantify or put a number on it. But our utilization levels in our rental business are really strong right now for this time of the year. And some of that is just a much better environment, much better end markets and some of it I think is milder weather patterns. 
Joseph Mondillo: Okay. That actually brings me to my next question. In terms of utilization rates, the utilization in terms of units actually kicked down from the third quarter. I imagine what you just referenced, it's ticking back up in the first quarter here. How do you manage those utilization rates and where is sort of your target or do you have a target that you sort of like and how do you sort of budget your rental fleet investments in terms of that? 
John Engquist: I’m not sure I understand your question. What -- you’re speaking, first quarter or just... 
Joseph Mondillo: Just in general really. How do you manage your utilization rates, in general, in terms of how you’re investing in the rental fleet? 
John Engquist: Well, when we’re trending above 70% utilization, I mean that creates investment opportunity for us. When we get in the 72% to 74% range that’s kind of peak utilization for us. We get any higher than that, we’re burning rubber. And so anything above 70% utilization, I’m speaking original equipment cost, OEC. That creates opportunity for us to invest in our fleet. 
Operator: And we will hear next from Philip Volpicelli with Deutsche Bank. 
Sean Wondrack: This is Sean Wondrack sitting in for Phil. First question is quick housekeeping. I’m not sure I saw it in the release. Can you please provide us with the floor plan payables for the quarter? 
Leslie Magee: Sure. They ended at $58.3 million. 
Sean Wondrack: Okay. And then also with respect to CapEx, if possible, could you kind of let us know what area you’d be focusing on in terms of equipment, which specific types you may invest in more this year as compared to last year? 
John Engquist: Our aerial business is very strong. Utilization levels are very high in our aerial business and we’re certainly investing in that aspect of our fleet. We will be investing on the earthmoving side. Crane side is pretty broad-based. I mean we’re seeing demand across all of our product lines. So, I think that our investing will somewhat mirror our fleet mix. I think you could refer to that and that will be pretty close to the way we invest. 
Operator: [Operator Instructions] And we will hear next from Seth Weber with RBC Capital Markets. 
Seth Weber: Just a quick follow-up. John, the 71.5% utilization that you referenced, is that OEC basis or unit? And was that quarter-to-date or just kind of where you’re at now? 
John Engquist: It was a snapshot. It’s where we were yesterday and it is OEC based. 
Seth Weber: Okay. And would you say it’s been pretty consistent at that level through the quarter? 
John Engquist: No, it’s trended up to that point. Obviously in early mid-January, we were somewhat below that level and we’re currently trending up, which is just very typical, very normal seasonality. 
Operator: And we’ll hear next from Matthew Dodson with Edmunds White Partners. 
Matthew Dodson: So, obviously pricing was really strong in the fourth quarter. Can you talk a little bit about kind of the sequential cadence that you think about pricing and is -- I mean, obviously pricing is up year-over-year in Q1. It’s up sequentially from Q4 also? 
John Engquist: Yes, slightly. We had a slight increase sequentially from Q4. And then what I referred to earlier from January to February, we had a 1.5% sequential increase. 
Matthew Dodson: And then, can you talk just a little bit about, from the standpoint, as you get into the busier season in your second and third quarter, because of the merger between URI and RRR, do you think there is potentially opportunity for pricing to accelerate more this year? 
John Engquist: Well, I do. I think, again, as you get into the busier part of our season, utilization will increase. And when we get well north of 70% of our fleet on rent, get up to 72%, 73%, 74%, wherever we peak out, I mean, that’s just -- you’re at a utilization level where you can push rates hard. And I assure you we're going to and I have every expectation that our large competitors are going to do the same thing. So, we’re going to be in a good environment for rate increases. 
Operator: And it appears that there are no further questions at this time. Mr. Engquist, I’d like to turn the conference back over to you for any additional or closing remarks. 
John Engquist: I appreciate everybody being on the call. I appreciate your interest in H&E Equipment Services. We feel good about 2012. I think we’re definitely in a better and improving environment. And we look forward to speaking with you on our next call. Thank you for being on the call. 
Operator: And again that does conclude today’s call. We thank you for your participation.